Operator: Good morning and welcome to the Brunswick Corporation 2016 Second Quarter Earnings Conference Call. All participants will be in a listen-only mode until the question-and-answer period. Today's meeting will be recorded. If you have any objections you may disconnect at this time. I now would like to introduce Bruce Byots, Vice President of Investor Relations.
Bruce Byots: Good morning and thank you for joining us. On the call this morning is Mark Schwabero, Brunswick’s Chairman and CEO; and Bill Metzger, CFO. Before we begin with our prepared remarks, I would like to remind everyone that during this call our comments will include certain forward-looking statements about future results. Please keep in mind that our actual results could differ materially from these expectations. For the details on the factors to consider, please refer to our recent SEC filings and today's press release. All of these documents are available on our Web site. During our presentation, we are using certain non-GAAP financial information. Reconciliations of GAAP to non-GAAP financial measures are provided in this presentation as well as in the reconciliation sections of the consolidated financial statements of the Company’s today’s results. I would also like to remind you that the figures in this presentation reflect continuing operations only unless otherwise noted. I would now like to turn the call over to Mark.
Mark Schwabero: Thanks, Bruce, good morning everyone. Today, I will focus my opening remarks on our second quarter results, as well as provide insights into the global Marine and Fitness markets, and then Bill will comment in greater detail on our financial performance. And then I’ll come back and wrap up with comments on our current 2016 full year outlook. Our second quarter results reflect the continued successful execution of our growth strategy. About halfway through the Marine season, indications under score a healthy U.S. marketplace, which is consistent with the assumptions we’ve had made entering the year. And our 2016 outlook continues to represent another year of strong earnings growth and free cash flows as well as investments in our business. We’re making outstanding progress integrating Cybex into our Fitness segment and we remain on plan to achieve our near and long term financial objectives for this acquisition. Revenue in the second quarter increased 8.8% and on a constant current basis, the revenue increased by 9.1%, with acquisitions contribution approximately 4% of growth. The strongest growth rates reported by our Fitness segment, our fibreglass outboard and aluminium boards. Marine parts and accessories and our outboard engines also exhibited strong growth rates. Our gross margin was comparable to last year at 28.4%. Operating expenses increased by 11% and were 15.2% of sales. This compares to 14.9% of sales in 2015. Excluding the impact of acquisitions, operating expenses increased by 5%. Adjusted operating earnings increased by 7% versus the prior year, and operating margins were 13.2%, down 30 basis points compared to last year. And this is slightly better than our prior guidance to being down 50 basis points due to better than expected gross margins and lower operating expenses. Operating leverage for the quarter was approximately 10% on an as adjusted basis. Excluding the impact of acquisitions, operating leverage for the quarter was 16%; continuing down the P&L, adjusted pretax earnings increased by 6% while diluted EPS as adjusted of $1.19 was up $0.14 or 13%, and finally, our year-to-date free cash flow totaled $130 million or an improvement of $94 million versus the prior year. And now I would like to provide a little perspective on the U.S. Marine market. Based upon preliminary data, the second quarter, which on average comprises about 45% of the retail, reflected a growth rate of approximately 3%. Outboard Boats increased by approximately 5% and the fiberglass sterndrive/inboard declined by 5%. So in the first half of 2016, the U.S. powerBoat industry grew 6%, which is comparable to the first-half 2015 growth rate. We’re encouraged by the continued solid growth of the market, and are maintaining our initial assumptions that the 2016 U.S. industry growth will be similar to that of 2015. Based on this year-to-date preliminary data, it appears likely that the industry in the U.S. is on pace to achieve its sixth consecutive year of growth. Assuming that current six month growth rate continues for the full year, the industry total new unit levels would still remain at about 63% of the prior peak average of about 300,000 Boats per year. This solid growth rate, which has been sustained in a continuing slow growth economic environment has been supported by solid market fundamentals, including stable Boating participation and favorable replacement cycle dynamics. In fact, earlier this month the NMMA amounts that for 2015 the total Boat registrations were 9.8 million, up from 9.7 million reported in 2014. And as the chart demonstrates, the U.S. Boat park appears to be as stabilizing at about 9.8 million Boats. In addition to these positive factors, innovative products being introduced throughout the marketplace are also influencing the Boat demand and our product successes in both our engine and Boat segment have enabled continued market share gains and mix benefits. Next I would like to review with you our current Marine market perspectives on the international region. In Europe, our full year outlook continues to reflect modest retail unit growth. We continue to experience mix regional results throughout continent but overall demand remains relatively healthy. In Canada, markets continue to show weakness. Dealers are managing inventories very conservatively and are looking for indicators that currency volatility and economic conditions will become less challenging before they restock. Our outlook assumes that the demand environment will continue to be challenged over the second half. In other rest of the world market, our outlook for Asia Pacific continues to reflect stable retain demand, while Latin America remains a difficult market with retail unit declines anticipated to be in the low double digit range. So in summary, we are maintaining our view that the 2016 global unit market will be towards the lower end of the 3% to 5% range and that a revenue growth will continue to outperform through share gains and mix improvements, as well as benefits from acquisitions in our parts and accessory businesses. Our Fitness business continues to benefit from solid demand particularly in the global health club and hospitality markets. This foundational core growth combined with favorable trends in the rehabilitation and active aging category, as well as increased participation in group exercise activities is providing a healthy marketplace to execute our Fitness strategy. The group exercise category, which I will comment on in my concluding remarks, continues to grow rapidly as customers seek unique and differentiated exercise experiences. This chart depicts our year-to-date growth rates by region on a constant currency basis, excluding acquisitions. These results reflect solid growth rates in the U.S. and Europe, which represents just under three quarters of the segment sales. And third largely regions, Asia Pacific, experienced strong sales improvement due to combination of market growth and share gains in both Japan and China. This performance reflects the success of our continued focus on expanding our presence in these important markets. And with that, I’ll now turn the call over to Bill for additional comments on our financial performance.
Bill Metzger: Thanks Mark. I would like to start with an overview of our revenue performance. For the second quarter, on a constant currency basis, sales in our combined Marine segments and Fitness segment increased by 5% and 33% respectively. From a geographic perspective, consolidated U.S. sales increased by 11%, while sales outside the U.S. on a constant currency basis increased by 5%. By region, sales on a constant currency basis increased by 14% in Europe and rest of the world sales were flat to prior year. In the first half on a constant currency basis, sales in our combined Marine segments increased by 6% while out Fitness segment increased by 26%. From a geographic perspective, consolidated U.S. sales increased by 11%, sales outside the U.S. increased by 6% on a constant currency basis. This includes growth in Europe for 14% and 1% growth in other international regions. Turning to our Marine engine segment, where second quarter sales on a constant currency basis increased by 4%. From geographic perspective, sales in the U.S. were up 5% reflecting increases in outboard engines and parts and accessories. Sales to Mercury’s Europe customers excluding currency changes were up 10% led by strength in all major product categories. This performance reflect benefits from new engine products and our strategy to expand the parts and accessories business in this region. Rest of the world sales on a constant currency basis were flat to prior year. Performance in these regions was mixed with growth in Canada and slight growth in Asia Pacific which was offset by declines in the Latin America, Africa and Middle-East regions. On a product category basis, the outboard engine business reported solid sales growth in the quarter. New products introduced over the past several years that resulted in market share gains in targeted saltwater, repower and commercial markets. The retail environment for outboards continue to be favorable, however, similar to Boats growth in wholesale shipments lagged retail performance in the first-half of 2016. Wholesale and retail growth rates are expected to be more in balance for the full year, which should benefit second half growth rates. Sterndrive engine sales continues to be affected by the shift to outboards and unfavorable global retail demand trends. However, our share remains strong as we continue to have growing adoption of a recently introduced purpose built engines. Mercury’s parts and accessories businesses delivered solid sales growth during the quarter. Revenue benefited from new product launches and market share gains, including a successful execution of our international growth strategy. Growth in the U.S. in the first two months of the quarter was slower, which we believe was due in part to unfavorable weather conditions. Demand trends for P&A were very strong in June. Mercury’s outboard earnings increased operating earnings increased by 5% compared to last year’s second quarter. Operating margins were 19.3%, 20 basis points higher than the prior year quarter. The improvement in operating earnings reflected higher sales and cost reductions including benefits from lower commodity costs and savings related sourcing initiatives. Partially offsetting these positive factors were increases in unfavorable effects of foreign exchange and growth related investments. For the six months, operating margins were 16.5% which is consistent with prior year. In our Boat segment, second quarter revenues on a constant currency basis increased by 6% with strong growth rates in fiberglass outboard and aluminum Boats. As anticipated, sales of our sterndrive inboard Boats were down reflecting declines in larger Boats, which were partially offset by gains in runabouts. The decline in larger Boats was due to the impact of preparing the channel for planned second half product introductions and from large Boat mix becoming more balanced. Our Boat brands continue to make progress gaining share. Regionally, in the U.S. which represented 73% of the segment, sales increased by 10%. European sales on a constant currency basis increased by 21% versus the prior year and benefited from recent product introductions and solid retail growth, rest of the world sales on a constant currency basis declined by 60% reflecting weaker demand in Canada and Latin America. For the second quarter, global retail unit sales increased by 4% versus the prior year, while retail units in the U.S. grew by 9%. Year-to-date global retail unit sales increased by 6% and U.S. retail units grew by 11%. Global wholesale unit shipments experienced growth of 3% in the second quarter versus an increase in dollar sales of 5% as revenues benefited from a modest gain in average sales price. For the six months wholesale unit shipments were down 1%. Dealer pipelines ended the quarter at 29 weeks of both on hand measured on a trailing 12 month basis, versus 31 weeks a year ago with units down modestly. The year-over-year decline in pipelines on a weeks on hand basis reflects the impact of wholesale shipment growth rates trailing retail unit growth rates over the first-half of 2016. For the full year, we are planning for wholesale and retail unit growth rates to be more in balance. Consequently, we anticipate that wholesale unit performance will be a bigger contributor to overall segment growth in the second half of ’16. Increases in average selling prices should continue to be modest over the second half. The Boat segment’s second quarter operating earnings increased by 9% when compared to the prior year. Operating margins were 6.2% which reflects 20 basis point increase over last year’s second quarter. Operating performance in the quarter benefited from higher sales as well as lower commodity costs and savings from sourcing initiatives. Partially offsetting these items were the impact of lower sales of large sterndrive inboard Boats. For the six months operating margins were 5.5%, 120 basis points higher when compared to prior year’s results. Shifting to our Fitness segment. Sales increased by 33% for the quarter on a constant currency basis, excluding acquisitions Life Fitness sales increased by 12% on a constant currency basis. Sales in the U.S. were up strongly excluding the impact of acquisitions reflecting improvements in sales to health clubs and local and federal governments. International sales growth was solid led by growth in Europe and Asia. Cybex and SCIFIT contributed about 21% for the segment sales growth in the quarter. For the first six months, on a constant currency basis, excluding acquisitions sales increased by 6%. Segment operating earnings increased by $4 million as adjusted. Operating margins were 11.6% as adjusted which was 170 basis points lower than the prior year. Segment earnings were affected by benefits from higher sales, which were partially offset by increases in growth investments and unfavorable sales mix. Cybex delivering modest contribution in the segment’s operating results, including purchase accounting adjustments of approximately $1.4 million during the quarter. Our Life Fitness segment had approximately $2.6 million of restructuring and integration charge related in Cybex acquisition in the second quarter and $6.4 million year-to-date. We anticipate $8 million to $10 million of restructuring and integration costs related to Cybex acquisition for full year 2016. For the six months operating margins were 11.3% to 130 basis points lower than last year reflecting the impact of the Cybex acquisition. Next, I will discuss the impact that foreign currency is having on our sales earnings comparisons. In second quarter, consolidated sales comparisons were unfavorably affected by a slight amount and operating earnings were negatively impacted by approximately $5 million. This earnings impact was slightly unfavorable versus expectations. Moving to full year 2016, we are anticipating the consolidated sales comparisons for 2015 will be unfavorably affected by approximately 1.5 of 1%. Operating earnings comparisons are anticipated to have an unfavorable impact from currency of $12 million to $17 million or approximately 3.5%, which is increase from previous guidance primarily due to the strengthening of the yen as well as the strengthening of the U.S. dollar against certain currencies. These estimates for 2016 assume an foreign exchange rate remain consistent with current rates for the remainder of the year. Our year-to-date effective book tax rate as adjusted for the second quarter of 2016 was 30.9%, 310 points lower than the 2015 rate. This reflects the benefit from the U.S. R&D tax credit as well as benefits from optimizing our international legal entity and cash management structures. Our effective book tax rate guidance for the full year 2016 is 31% as adjusted, and we are expecting our cash tax rate to be in the low double-digit percent range. This is an improvement in cash taxes versus our previous guidance. Turning to a review of our cash flow statement. Cash generated by continuing operating activities was $213 million, an improvement of $104 million versus the prior year. Net increases in our primary working capital accounts totaled $37 million. The biggest changes included, accounts and notes receivable which increased by $52 million, accounts payable which increased by $30 million, accrued expenses decreased by $16 million and inventory increased by $4 million. The improvement in working capital of just over $50 million versus the prior year reflects the timing of payments and to a lesser extent better working capital management. Year-to-date free cash flow was $130 million versus $37 million in the prior year, an improvement of almost $94 million. Capital spending was $90 million for the year-to-date period, which included investments in new products, as well as capacity expansions in our Marine and Fitness segments. Our business units continue to remain focused on generating strong free cash flow, which will allow us to continue to fund future investments and growth, including acquisitions, enhance share of the return and increased contributions to our pension funds. Let me conclude with some comments regarding certain 2016 P&L items. We have made modest updates to our previous guidance upon two items. We now expect combined equity earnings and other income to be slightly less than 2015. And our effective tax rate as adjusted is now forecasted to be approximately 31%. On the cash flow side, our current plan now anticipate working capital changes will result in a usage of cash of $40 million to $60 million, which includes the payout of deferred compensation balances in connection with our recent management transitions. We are still expecting for capital expenditures to be 4% to 4.5%. This increased level of spending versus the prior year reflect substantial new product investments in our outboard engine business and continued capacity investments to support new products and growth, which are driving expenditures a bit higher than our long-term planning targets. Our plan now reflects approximately $70 million to $75 million of cash contributions through our pension plan, reflecting an increase from previous guidance as we execute our de-risking strategy and funding plan. We anticipate our cash tax rate to now be lower and range in the low double-digit percent area. Netting together these factors along with our anticipated earnings performance, we expect to generate free cash flow for the full year in excess of $200 million. This guidance is unchanged, reflecting improvements in cash taxes and working capital which are offset by our plans to increase pension contributions. Our plan assumes that share repurchases total approximately $100 million in 2016. And now I’ll turn the call back to Mark to continue our outlook comments.
Mark Schwabero: Thanks Bill. Our overall operating plans and the assumptions for 2016 remain relatively consistent with those we communicated in April during our Q1 earnings call. We continue to target 2016 to be another year of outstanding earnings growth and strong free cash flow generation. Our plans reflects approximately 10% to 11% sales growth, which includes the continuation of solid market growth in the U.S. and Europe partially offset by weakness in certain international Marine markets. Our plan also reflects benefits from the success of our new products and market share gains. We also are planning for wholesale and retail unit growth rates to be in balance for the year, which will benefit Marine growth rates in the second half. We currently estimate that the acquisitions will account for about 5 percentage points of the 2016 growth rate, reflecting acquisitions that were announced in 2015 and 2016. We anticipate a slight improvement in our gross margin levels and in operating margins. Operating expenses are estimated to increase in 2016 but as a percentage of sales are expected to be slightly lower than 2015 levels. Our plan in 2016 continues to include increased investment spending to support our growth. These investments will be directed toward new products initiatives that help us advance our productivity likely in six sigma and investments to support our growth plans including information technology. Our decision to continue to proceed with these investments and based upon a favorable view of our markets, the long-term growth opportunities and our proven ability to deliver on previous investments. The cost actions taken in 2015 to respond to the foreign currency headwinds continue to yield benefits in 2016. As we assess the full year and our operating plans, we are maintaining our full year EPS guidance $3.40 to $3.50 a share. And early look in the third quarter indicate strong top line growth rates at around 12% with stable to growing gross margins. We expect operating margins in Q3 to be lower than the prior year by a similar amount reported in Q2 of approximately 30 basis points. This decline is primarily due to the increased investments support our growth as I just described in the previous slide. We expect operating expenses to grow at a mid teen rate in the third quarter and will moderate in Q4. Turning to our segments, the 2016 forecast reflects continued revenue and operating earnings growth in our Marine engine segment. Mercury’s growth targets are based on a fresh and innovative outboard product platform. This growth is further supported by our market leading P&A businesses and we plan to grow both organically and through acquisitions. Specifically, we are planning for revenue growth in the mid to high single-digit percentage range, with a solid improvement in operating margins. Our plan continues to reflect the stable pricing environment for our larger horsepower engine business. Looking at the Boat segment, we’re targeting 2016 annual revenue growth in the high single-digit percentage range. We continue to anticipate a solid year-over-year improvement in our operating margins of approximately 100 basis points to 120 basis points. This represents a rate of improvement in operating margins consistent with the first half of 2016. We remain positioned to achieve our long-term target of 6% to 7% operating margins. Shifting to our business segment, our plan is based on continued revenue growth and maintaining strong operating margins. In 2016, including announced acquisitions. We are targeting revenue growth in the mid to high 20% range resulting in total revenue exceeding 1 billion. Our outlook excluding completed acquisitions continues to reflect mid to high single-digit growth based upon the underlying fundamentals of the market that we have previously described. We are planning for 2016 operating margins as adjusted to be lower due to the impact of the Cybex acquisition including the purchase accounting adjustments. The margin performance of this business will improve over the second half due to benefits from integration savings and the seasonality of the business. As we previously stated, Cybex margins have historically been lower than those in Life Fitness, largely due to a higher operating cost base on a percentage of sales basis. However, after an initial period of margin dilution, we expect to return the combined business margin levels to traditional Life Fitness margins by 2018 due to our cost reductions and the revenue growth. Lastly, we continue to believe that Cybex will contribute net benefits of $0.08 to our 2016 EPS as adjusted. Earlier today, we announced that we entered into an agreement to purchase the Indoor Cycling Group. ICG in 2015 had sales of approximately $41 million. The acquisition of ICG enhances our ability to serve the growing group exercise category. Over the past several years, Life Fitness has been addressing this growth trend by introducing innovative products such as our SYNRGY360, our Lifecycle GX and the Row GX Trainer. The acquisition of ICG is consistent with our goal to achieve revenue of 1.5 billion at Life Fitness by 2020, and was considered in our 2016 to 2018 growth plan targets. The acquisition is subject to regulatory approval and we expect to close late in our third quarter. The benefits drive from the transaction includes revenue synergy opportunities, our ability to leverage technology capabilities in group exercise as well as the optimization of customer relationships and international distribution. ICG is projected to have minimal impact on our 2016 results. And with that I’d like to thank all of you. And Bill and I are ready to take your questions.
Operator: Thank you. We will now begin the question-and-answer session [Operator Instructions]. And our first question is from Greg Badishkanian from Citi.
Greg Badishkanian: So just wondering so when you look at retail sales, the best way to do it is to look at first half because I'm guessing weather was kind of uneven throughout the first six months of the year. Is that the right way to think about it?
Mark Schwabero: That’s the fair way Greg, that’s correct.
Greg Badishkanian: And then if you look at it, the growth rate has been pretty decent. Yet other segments, and we had the Harley report this morning, are seeing weakness within the overall leisure vehicle industry. So I'm wondering maybe some of the differences between the Marine and Boat industry versus other segments within a leisure vehicle industry.
Mark Schwabero: Greg, the things that we pointed out before, but our reinforce is that obviously we’re headed different point in the recovery than some of the other industries have been in. I think the other case is that we’ve had a strong U.S. market as part of that recovery and it's balanced across essentially all of the geographic areas. And I think another thing that probably differentiates us is we’re probably a little less tied into some of the energy field or agriculture or some of the other areas as well with Marine versus some of the comparables you may be thinking of.
Greg Badishkanian: And then just finally, is any quantified information or numbers on, through the oil-related markets, which have been pointed out by other leisure vehicle industries in terms of maybe second quarter versus the first quarter and any impact in your business?
Mark Schwabero: We’ve never seen a correlation between fuel prices, going from oil to fuel prices. We’ve never seen…
Greg Badishkanian: Geographic markets, the geographic markets like…
Mark Schwabero: No…
Greg Badishkanian: Yes, and that would include maybe Canada as well, which you talked about throughout North America.
Mark Schwabero: So, let me take it from a U.S. perspective. We take the top 20 saves which includes State of Texas as an example. We’re seeing extremely nice growth rates, in particular, in oil and even areas that you would relate to energy. So I think some of the more recent State of Texas was, I mean, almost 15% type growth. So, I think other factors related to droughts and things in prior years have maybe impacted us more when energy was strong and now it's helping us in the environment. But fundamentally, we’re not seeing that relationship in the U.S. market. As we look at Canada, clearly the majority of the market tends to be the Ontario and the Quebec, they represent about 60% of the market. And when we look at Ontario or even some of the maritime areas within Canada, we’re seeing a little different response than where we see in the balance of Canada which has probably a little more energy vent to it. But again the vast majority of that market is, it's sitting in the eastern provinces and maritime area.
Operator: Our next question is from James Hardiman from Wedbush Securities.
James Hardiman: I guess first I just wanted to make sure I understand the moving parts of guidance. Obviously, the overall guidance is unchanged. But it looks like, by my math, about a nickel negative from FX maybe a penny or two positive from the tax rate. And then the remainder of that difference is made up from slightly better Boat segment guidance? Is that how I should think about it and are there any other moving parts that I missed there?
Mark Schwabero: When we take a look at all of the moving parts, we’re obviously fighting maybe a little bit more of a headwind from currency I think the fact that we’ve had a good solid start to the Marine industry in U.S. And we’ve had performance quite frankly that’s outperformed that to a pretty nice degree. All said [indiscernible] as we look at what’s going to transpire over the second half of the year, we feel pretty good about where our guidance is, and we kept it consistent with where we were three months ago.
James Hardiman: And I want to focus a little bit on your slide 18, which seems to have a lot of information in it, that talks about the Boat segment metrics, global versus U.S. and wholesale versus retail. First, the global versus U.S., 9% -- looking at retail, 9% U.S. 4% global. Does that imply, I am assuming international retail was -- would have had to be down a descent amount in the second quarter. Can you give us that number? And does that get any better?
Bill Metzger: James it is down, I am not sure I am going to give the split on that number. But it certainly down. It reflects weakness in Canada would be the primary driver. Latin America has not been a very good market for us as well. Europe has been a little bit on the positive side as Mark referenced.
James Hardiman: And then I guess lastly, year-to-date wholesale down 1%, retail up 6%. You said a number of times that, that should even out over the course of the year. Is it as simple as saying that in the back half that wholesale should be 5% ahead of retail -- 7% ahead of retail? And regardless of what the magnitude is, how does that -- how is that dispersed between 3Q and 4Q? Do we get more of a catch-up in one of those two quarters?
Mark Schwabero: I don’t think there is going to be any material difference in the catch-up Q3 to Q4. But some of that’s going to have to play its way out James. So one thing I would point out is that as we sit here today, we’ve had what we consider to be a very solid start to the year, both in U.S. and globally. And as we sit here with retail as strong as it's been and our pipelines in extremely healthy shape down two weeks, aging being favorable. We think we’re really set up for a really good opportunity in the second half of the year to restock pipelines with all of our current new products and that's one of the reasons you highlighted the fact that wholesale units should grow at a much faster rate than retail over the second half and assuming that retail continues to hang in here at strong levels that's certainly going to happen.
James Hardiman: Okay and then just, sorry lastly for me, ASP, still solid in the second quarter, up a couple percent, was much bigger the last couple quarters. I seem to recall you made a comment about, there was a decline in larger boats in the second quarter ahead of some second half introductions. Can you just repeat what you said on that topic and if that is the case, wouldn't may be ASP benefit a little bit more of the second half?
Mark Schwabero: It continues to be relatively, remember on the pipeline James that a lot of the things we're talking about are higher unit, lower dollar ASP sort of product. And as we catch up on that at the back half of the year whatever sort of benefit we might get from big boat demand later in the second half, those two things tend to be a little bit more in balance.
James Hardiman: Got it, thanks guys. Yes, very much so, thanks, good quarter.
Operator: Our next question is from Mike Swartz from SunTrust.
Mike Swartz: Hey Mark just wanted to touch on some of the comments you know behind your four year outlook on the marine business and your understanding that we're up 6% in the US here year to date, which is similar to last year. I mean the trend in stern drives used to be materially better, seems to stabilizing a bit so. Just given that outlook and your plans to exceed retail in the back half of the year in terms of whole sale I mean how should we think about that stern drive business? Can that grow in the second half of the year and I guess both on the boats and the engine side.
Mark Schwabero: Well I think there's a couple of different things that are going to go on there Michael, I mean first of all there is still a fair amount of products that we're working through transitioning from the phase out and everything that both we and our competitors have done there, so there's some dynamics working through the supply chain but from a pure retail standpoint I think there's you're still going to see a number of products coming out in the category that are going to be outboard based but clearly some of the things we're bringing out you know I would take for example the USOX product line, the things that we're doing, you know and the success we're having with urgency stern drive products and you know we're going to see, we'll see some growth in some of those areas, but you know I think it's a market that I don't think we're going to see huge increases but you know a stabilizing slight increases are all in the realm of possibilities.
Mike Swartz: And I guess just following up, remind me when was the last time you actually saw an increase in stern drive? I guess maybe even for full-year basis. Whether that's, again, boats or engines.
Mark Schwabero: I think on a full year basis there'd probably be pre recessionary level.
Mike Swartz: Okay. And then just touching on the Fitness, for the acquisition of ICG, you put some slides in the presentation but maybe just getting a better sense of what was the core the main criteria for making that acquisition.
Mark Schwabero: Well, as I mentioned in my comments before Michael one of the things that we're, you know clearly trying to do and it's been part of our overall strategy is try and take advantage of an area where people are looking at different ways of fulfilling their needs from an exercise and the group exercise is an area that we've been focusing a bit more on and so we've done some things product wise around what's growing and recycling and fact I think we've had a supplier relationship with them for the last five years and have gotten to know them fairly well and understand that product and the capabilities and we just see you know between our ability to get a deal with them and you know what's going on in the group exercise really put a much bigger stake and a bigger kind of foundational piece in what we're trying to do in the overall group exercise arena and I wouldn't underestimate you know there's some nice technology and IP that comes with them as well whether we're, you know they've got some really good things around their watt rate, power meter and you know they coaching by color opportunities that the intellectual property and give us some opportunity to expand that and that really falls out so. You know it's much as we did with something like Sifed and really getting a creating a bigger nucleus in the marine half space that's this particular acquisition gives us you know much more capability within the group exercise arena. And we're I mean I guess, we're really excited this has been you know we've known them for years the Burns and the scheme over there, great set of people you know we think there's a really strong cultural fit and we're really feeling good about being able to define the agreement here.
Mike Swartz: And anything you can disclose in terms of growth rate of the business?
Mark Schwabero: No we haven't we really haven't talked about that growth rate but I think it's going to head, let me answer it this way Mike, it'll have minimal impact on 2016 and I think as we you know are able to bring this to a conclusion in the third quarter, as we talk about 2017 we'll probably be able to talk about this a bit more, but right now we finished the signed agreement and we're very happy with it and we can probably get a little more direction around that.
Mike Swartz: Okay, great, thanks.
Operator: Our next question's from David McGregor from Longbow Research. And our next question's from Tim Condor from Wells Fargo Security.
Tim Condor: Thank you. Gentlemen, just a couple things here. In particular if you could drill into the European Marine trends? It appears that, that is slowing a little bit. Is that more a function of just a -- it's still growing nicely but slowing. Is that more a function of the comparisons or is there anything that you are noticing, an underlying demand and then as it relates --
Operator: I can go to the next question. Tim you're back.
Operator: And we'll go to Randy Konik from Jefferies.
Randy Konik: Hey, great thanks a lot, I guess Bill, I wanted to ask about you know your comments around working capital improvements. Kind of where you think we are in the working capital improvement cycle? And you talked about the 29 weeks of supply on hand versus 31 weeks. Where should we be thinking about that trend over the next six months or so?
Bill Metzger: So the 29 weeks Randy is a dealer inventory metric, not necessarily a Brunswick working capital metric and as we sit here today, we're not necessarily planning for or necessarily think that we got big adjustments that need to be made, to the level of inventory being held at dealers. As we sit here today we are two weeks lower than we were a year ago which I think is a reflection of just how strong our retail performance is been and our ability to exceed what markets have done and what our market expectations were. And you know I think as we look forward, we're not anticipating there to be a continuing decline of dealer inventories on a weeks on hand basis as we go throughout the remainder of '16 and then into '17 but naturally if we get into periods of time where retail continues to outperform we may have a hard time closing that gap. Is I think the best way to look at it.
Randy Konik: Understood. And when you talked about the ASP trends continue to move higher. But the way the boats are mixing, it seems to be on a like-for-like basis ASPs are going up but the mixed boat seems to be moving more towards a smaller, I guess, boat. How do you think about that on a long-range basis about where the trends should look out over the next few years in the industry?
Mark Schwabero: So the way I would think about that is that we are seeing a nice growth across our portfolio, so we see people migrating into boats with bigger engines, more content etcetera, at the low end of our product offerings all the way to the high end. So that is part of what's driving that our view of what ASP growth is going to be on long term basis. And we feel pretty comfortable that's going to continue, mostly because it's been part of the evolution of the market over the past 15 years and people have desired to trade up buy new to achieve things that they can’t get in the used market that naturally brings with it bigger engines, more control technology, you've seen a lot of success that we've had there, introducing things like joystick and active trimming things on the engine side that all makes its way into boats and it all makes its way into a higher average selling price.
Randy Konik: Right. So I guess my question would be, if we been talking about that theme of, don't necessarily believe that we are going to go blow past the prior peak unit volumes in the industry, it's more of an ASP kind of story that's been developing in the industry. How do you think about the discrepancy between how ASPs trend on the low end versus ASP growth potential on the high end? How should we be thinking about that?
Mark Schwabero: I would think naturally on a percentage basis there's probably going to be a little bit more elasticity on the high end and the value end Randy but what could play out here is that if you end up in kind of this stable recovery mode, where we've got pretty nice balance between recovery at the high end and the low end, I think it's reasonable to assume that this ASP growth continues on at kind of its current trajectory and if you end up seeing a reemergence of value and greater growth rates on the value side we might have a little bit more upside on units which could put pressure on ASPs.
Mike Konik: Great, and then I guess my.
Mark Schwabero: Net we still get to the same dollar amount.
Mike Konik: Perfect, and then I guess my last question would be, when you think about Canada, been a little bit of a thorn in the side as this US market continues to do very well. How do you think about your mileage posts on or at least duration of the difficulty there, when do you think we could see some sort of you know improving trend in that geography going forward thanks.
Mark Schwabero: Well Randy I think the, I think one of the things that if you take it from a historical perspective, dealers and the consumer in Canada once they really start seeing stability now seeing stability in the currency they tend to adapt to it and you know we see recovery or things happening again if you do that from a historical I think one of the real questions is you know just at what point does currency have a little less volatility and with the new government Trudeau and stuff, how does that all play out to create that. You know some early indicators looking at housing prices and sales of homes and stuff in the market are giving indications that you know some of that's starting to happen from a consumer perspective but you know I think that's what really got to play out is, people just seeing less volatility and a little more stability in the currency.
Mike Konik: Great, thanks a lot, appreciate it guys.
Operator: And we will go back to Tim Condor from Wells Fargo.
Tim Condor: Thank you, gentlemen. A couple of things here. As it relates to the US marine market versus the international market. How would you characterize each of those over the last 90 days versus your expectations? As expected? Stronger? Weaker? And then the discussion you had about wholesale exceeding retail of the back half of the year sort of to catch up predominantly in the more entry-level part of the market. Catching up supply with demand. Does that factor in any expectations for what you are going to see at a lot of the dealer order periods here that are coming up through August or could that be further adjusted post those meetings?
Mark Schwabero: Let me kind go through the questions, and the first one was you know the US is you know there's strong retail but if you look at the first six months for instance we said it would play out pretty similar to '15, it's playing out very similar to '15 so I don't know that the US is looking a lot different than we expected, you know Europe a little stronger than we expected and I think that bears out maybe not so much from the market as bears out from some of the success we're having with new products and things, on both the engine and both sides over there so I think that's maybe more us than the market, as it relates to the wholesale retail, as we go into dealer forums and dealer meetings and the launches of you know the 17 products all indications would be that we'd have pretty strong orders from dealers coming in because of where the pipeline is, because of kind of dealers confidence based upon this last year. So I think, I think as we go through the third quarter and hold those various meetings and forums, you know the order rates, orders we'll be receiving are, you know are probably going to be affirmations of what's going on just talk to you about the second half wholesale performance. That's going to play out over the next, literally the next month or two.
Tim Condor: And then in the, if any needed to [indiscernible].
Mark Schwabero: You're breaking up a little bit, I think the questions, then we would look at things obviously as we have our next call in the October timeframe relative to what that all looks like as well as continuing to get you know a little more data filling in the second quarter and how the retail is continuing into the third quarter. All of those things would give us a little more information.
Tim Condor: Okay. And then as it relates to Europe in particular, just to get the Brexit thing on the table, anything that you've seen since then? And as you said, Mark, the trends a little bit better than you thought. So just the slowing we're seeing is the difficult comparisons but still obviously pacing along pretty nicely?
Mark Schwabero: Yes, we've had a little more benefits on the north side, northern Europe but you know we're starting to see some improvement in the southern Europe and that's really where some of the regulatory markets are but as it relates to Tim the question on the Brexit side, you know it's a bit early to know where that's all going to go, but the other thing from the standpoint of dealers or distributors bringing in those four engines we're from a lot of perspective s we could say that the season's probably almost complete from the standpoint of that so, I'm not sure we'd be able to measure you know really Brexit at this point but it's way too early and number two I'm not sure how or where we really see it at this point anyway.
Tim Condor: Okay fair. Last question relating to Fitness. If you look at share trends year-to-date, either excluding Cybex or on a pro forma basis. How are those going?
Mark Schwabero: Well I'm going to -- there's not a lot of good share data out there but I'll just kind of tee it up this way. So if you see our growth now, we talked about where the industry growth was going to be and when we look at the fact we've been able to get our core business growth to be in line now as we reported the second quarter I think as other we have some of our people who are competitive that are in the public arena and I think as they report some of their results you're going to be able to see that our growth rates are exceeding their growth rates fundamentally, I believe goes well for the factor for taken share.
Operator: And our next question is from Jimmy Baker from B. Riley & Company.
Jimmy Baker: Hi, good morning, guys. Just want to start with a couple of questions on Mercury. So first could you speak maybe to regional strength and weaknesses in the domestic P&A business, based on I guess weather and any other factors you think are worth calling out. And that I know you don't talk about this often but how do you feel about channel inventory levels in the P&A business? And then if I could just ask a more speculative question in the context of your exposure to Bass Pro and Cabelas, any thoughts on the implication to you if there was a potential combination there?
Mark Schwabero: Away go to the first point from a regional perspective, we had as we mentioned on the call the early part of the second quarter or P&A was being impacted by weather and that I would say was if you really think about the weather patterns and I don’t like to use weather as a reason but clearly go a weather implications in the early parts of course. The month of June has been very, very strong for us, which was great and came through okay so I don’t think there is a fundamental change on the business it's really some timing and nothing that really pops out geographically when we look at the various areas as well Jimmy, so we're confident in terms of the pipeline and I think we've talked about this before in the given the fact that our P&A distribution is growing around same day next day delivery arming our whole model is basically not to rely on a dealer stocking up itself it’s a lot more around, our ability to get them what they need, when they need the product and we are very realize supplier there and so give you pipelines dealer inventories of CLA is not really something that we worry ourselves. In terms of the Bass Pro and the Cabelas, there's rumor out there. I just really they are both great customers of ours and I would rather not speculate on what on what's the results if those things happen or what might happen or what's the impacts to us, they are too really good customers for our business.
Jimmy Baker: Okay. And then not to beat a dead horse but just want to come back to the Boat group for a moment. This trend of stronger increases in wholesale shipments during the back half of the year is something we've seen from you each of the last several years and it seems that at least from our work, more of a Brunswick phenomenon than an industry phenomenon. So, could you just talk about you know if there's been any kind of seasonal change in your dealer buying patterns? Are they increasingly holding off for your new model changeovers given the success that your new model shave had? I'm just wondering what's driving, not just this year, but this multiyear trend of tilting your wholesale growth to the back half?
Mark Schwabero: I think there is a whole bunch of things going on that make us differ there Jimmy I had start with fact that, we've been bringing out new product that rate much greater, faster and differently then the rest of the industry so I think part of it is given that the model here changes mid year you know roughly around the 1st of July-ish timeframe, you know there's an actual tendency to once the inventory at the dealership to pull down a bit and they want to stock up with the new products that you coming out and available in the second half of the year and again just the rate at which we're bringing new products out and the types of new products we're bringing out. I think that's different than what goes to the rest of the industry. I think the other standpoint is that I think people have understood we’re a pretty reliable supplier and as a result of being a reliable supplier on our manufacturing capability, I don't think people feel they have to quite stock up to the same level that maybe they thought about having to do in the past and the other is you know our whole business model with our dealers is much more on a pull basis than a push basis, so we're not out of you know take control of relative huge discount it’s really more looking on a market by market and what the demand is, what we think they're going need to add. So it's a, I think it's more from the business perspective than a stock up perspective so I think there's a number of those factors that come into play why we're probably a little different than some of the others. Bill.
Bill Metzger: I think the only thing I can add to that Jimmy would be share performance, I think when we take a look at the last couple of years, we've had pretty good share performance in the market place and I think that's naturally going to create a situation where we may trail wholesale a little bit, trail retail a little bit with our wholesale shipments as we go through our procedures and then catch up in the back half.
Jimmy Baker: That makes sense. Thanks a lot for the color.
Operator: Our next question's from Joe Spak from RBC Capital Markets.
Joe Spak: Thanks. Good afternoon, everyone, and I know we are over the hour here so I will make it quick. I just wanted to dive in a little bit to the performance in Marine Engine in the quarter. I know you guys talked about, and I think even of the slide mentioned, increased investments way down but it still looks like the incremental margin was pretty good to so I was just wondering if there was any shift in timing of some of the investments? And maybe that bleeds over into the third quarter as to what -- why you see another down 30 basis points in the quarter?
Mark Schwabero: Yes, I would say from a timing perspective we do have a little bit more investments weighted for the third quarter versus the second I think that's a good observation. I mean I don't think there's anything from a -- outside of that I'm not sure there's anything else that's worth talking about.
Joe Spak: Okay. So the invest -- to summarize on the investment, if we go back a quarter, you are talking about higher investment even the second quarter. Seems like maybe some of that was more geared towards Fitness and then in the third quarter maybe a little bit more towards engine?
Mark Schwabero: Say there was some in both, very incredible businesses.
Joe Spak: Okay. Okay. And last one, on the decision to fund the pension a little bit more. I know you said derisking. Does that have anything at all with where you see the fund, saw something up in light of the rate movements?
Mark Schwabero: No, I would say it's really as we continue to shrink the plan but buyout obligations from participants, remember those plans that are frozen and we don’t have any employees wearing or benefiting those plans today, what we are marching toward a goal of trying to get those plans fully funded but let's call it by 2020. And I think the amount of money it's going to take for us to put in every year probably as closer to $70 million a year then where we had take our initial litigations this year which would be in more of the mid-30s and when you take a look at what we've talked about in terms of cash tax rates, we got some upside there in 16 that continues on in 2017 and 2018 and it's one of the reason why we feel like we can put a little bit more in the plans get ourselves focused on getting employee funded by a date so we can proceed with an orally kind of exit from those obligations because they don’t really relate to the operations we're having and operating today.
Joe Spak: Right and I know you mark the obligations only on December 31st, but do you have an indication as to where the fund size would move if you had to mark it at current rates?
Mark Schwabero: It would be I mean there is a plenty of chance to ahead of this challenge because of discount rate movements but some of that's have been offset by contributions we've put in so.
Joe Spak: Okay.
Mark Schwabero: There maybe a little bit of decrease in funded pattern but nothing material.
Joe Spak: Thank you.
Mark Schwabero: And remember we've got a lot of our investments in the plans today in fixed income so as interest rates starts to move around we get some nice offset through investment return so to counter some of the impact on liabilities.
Operator: And we have Rommel Dionisio from Wunderlich online. Please go ahead.
Rommel Dionisio: Thanks. Just a quick question on the Fitness Equipment business. Given the acquisition, given the growth you are seeing in Europe and Asia, I wonder will you guys need additional infrastructure, whether it be distribution or manufacturing, in some of these overseas markets? It's not something I've heard you mention in the last few years so I just wonder if this going to be some CapEx there necessary over the next few years? Thanks.
Mark Schwabero: Well if you get into a little more detail I mean part of we've made an expansion already that's all happened in our Hungry facility, we've already done physical expansions to our ramping Minnesota facility. One of the things we talked about that we were really or will assets for us in the Cybex acquisition was their Owatonna, Minnesota, facility both from standpoint it was an under assets utilization but also the opportunity to grow it and you may have seen during the quarter we've made the announcement with broken ground, we in fact our expanding that facility that's already are in our plans and guidance to grow the business grow that facility, and then when you take things like the SCIFIT acquisition, it had manufacturing capabilities when you take the ICG with our signed agreements there fundamentally it has the manufacturing capability so it's not taxing any of our existing facility so net-net is we think our capacity plans are very much aligned with the embedding and quite frankly benefitting some of the acquisitions.
Rommel Dionisio: Okay. Thanks very much, Mark.
Operator: And now I'll turn it back over to management for closing remarks.
Mark Schwabero: Well I just close this down by really coming back to where we start. We think we've had a great quarter, I really want to thank all the employees of Brunswick for their contribution, for making all of this happen, you know we think we stand very much aligned with our overall strategy of the business and we laid out at our investor day. So the fact that the growth is coming through, we're working the strategy that we presented, you know we're growing share in the market, we're meeting the expectations of our investors, we just, it's a great quarter and we look forward to the balance of the year.
Operator: Thank you ladies and gentlemen this concludes today's conference, thank you for participating and you may now disconnect.